Operator: Greetings. And welcome to the Oshkosh Corporation Reports Fiscal 2013 Second Quarter Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Pat Davidson, VP of Investor Relations for Oshkosh Corporation. Thank you. Mr. Davidson, you may begin.
Patrick N. Davidson: Thanks, Brenda. Good morning, everybody and thanks for joining us. Earlier today, we published our second quarter 2013 results. A copy of the release is available on our website at www.oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP measures used during this call and which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. And please refer now to Slide 2 of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form-8K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All results stated on this call are for continuing operations attributable to Oshkosh Corporation unless otherwise stated. Results for our ambulance business have been reclassified to discontinued operations for all periods presented. Also, all references on this call to a quarter or a year are to our fiscal quarter or fiscal year, unless otherwise stated. Our presenters today include Charlie Szews, our Chief Executive Officer; Wilson Jones, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Please turn to Slide 3, and I'll turn it over to you, Charlie.
Charles L. Szews: Thank you, Pat, and good morning. It's a pleasure to be speaking with all of you this morning. We are happy to announce another quarter of strong results. When we thought about how to best describe the quarter, we kept coming back to the same words: disciplined execution. We're working very hard to the launch of the Oshkosh Operating System to create a culture focused on disciplined execution, to serve and delight our customers and shareholders. Our team has been focused on disciplined execution of our MOVE strategy, and the results are evident as the team delivered year-over-year improvements in operating income margins in each of our 4 segments and second quarter earnings per share of $0.96, which has more than doubled last year's second quarter earnings per share. Despite mixed economic signals around the globe, we experienced strong demand for Access Equipment and concrete placement products during the second quarter. These businesses have benefited from the ongoing housing recovery underway in the United States, as well as replacement-driven demand, particularly in the case of our Access Equipment business, as customers are renewing aged fleets with purchases of new equipment. We also expect to see improvement in nonresidential construction activity in the coming years, which we believe will bolster demand for our products. In addition to reporting our second quarter results, today, we are increasing our outlook for the full year to an adjusted earnings per share range of $2.90 to $3.15. This increase in our estimates reflects our confidence in our plans and company-wide drive to execute. Please turn to Slide 4. About 6 weeks ago, we have commenced a country -- cross-country trip to visit with most of our largest shareholders, as well as with prospective investors, and I know that many of you that we visited are on the call today. The purpose of our trip was to reinforce regular and open shareholder communication, discuss progress with our MOVE strategy and reaffirm our commitment to drive to our 2015 targets. Discussions we had were both positive and productive. Our strong execution in the first half of 2013 gives us confidence that we are on track to deliver our targeted 2015 results of $4 to $4.15 per share. Of course, there may be some bumps along the way, but on the whole, we're attracting to our plan and we're generally on schedule with our MOVE initiatives. The ongoing rollout of our Oshkosh Operating System provides a framework and the tools for employees to successfully execute our MOVE strategy. We're managing our businesses to maximize the impact of market recovery on our performance. We're actively optimizing our cost structure, which is contributing to our improved margins. Today, we'll describe some new products launched under our value innovation initiatives. And you've heard us talk about going global, we'll describe some recent successes in regard to that during this call. All our MOVE initiatives are being driven utilizing strategy deployment scorecards to ensure effective project management to deliver our targeted results. And as our employees are trained in the tools of the Oshkosh Operating System, we are reaching for new benefits to augment our results. Before moving on to Defense, I'd like to congratulate our Pierce subsidiary in celebrating its 100-year anniversary of doing business. 100 years of doing business is a remarkable achievement and reflects a strong culture focused on serving our customers. Firefighters have come to appreciate and respect the Pierce experience that they're able to see last week at the FDIC trade show in Indianapolis. This is a type of culture that we are leveraging company-wide to the Oshkosh Operating System. Happy birthday, Pierce. Let's turn to Slide 5 for an update on our Defense segment. I'm extremely pleased with how our Defense segment is performing in the face of challenging conditions. We're all aware that revenues in our Defense segment are moving lower, as requirements for Tactical Wheeled Vehicles declined due to a reduction in Defense spending in the U.S. In the face of this challenge, over the past year, our Defense team has delivered significant operational efficiency improvement across all of our major Defense programs, resulting in operating income margins that have exceeded our previous estimates. Effective execution of the tools of the Oshkosh Operating System has been the foundation for this success. Speaking of success, I'm pleased to report that sales of M-ATVs for the UAE ramped up in the second quarter. We expect to have another strong quarter of M-ATV sales to the UAE in the third quarter before concluding those deliveries in our fourth quarter. We're also excited to be announcing today an initial order of M-ATVs for the Kingdom of Saudi Arabia. The contract for a little more than 100 M-ATVs is scheduled for delivery in 2014. We are also continuing to pursue other international opportunities to sell M-ATVs and other Oshkosh Defense products. Due to the competitive nature of some of these opportunities, we cannot go into detail about specific opportunities. Our focus on securing additional domestic and international orders for our Defense segment is of utmost importance. As a result of the reduction Defense spending that I mentioned a moment ago, we expect daily production to decline approximately 30% starting in June. And it's because of this lower level of activity that we recently announced the plan to reduce our workforce in the coming months, in this segment by approximately 700 production and 200 salaried employees and contractors. We'd like to keep these hard-working employees, but we simply will not have work available for them. I would like to thank all of these employees for their contributions to Oshkosh Corporation, as well as to our brave soldiers and Marines and I wish them well in their future endeavors. Before I leave Defense, I'd like to make a comment on what we think sequestration means for Oshkosh. We don't expect any material impact on operating results from sequestration and our 2013 vehicle sales, as all of our new U.S. vehicle production for 2013 is under contract. We do believe sequestration will have some impact on our aftermarket business in 2013, and our updated Defense sales estimates on Slide 10 in today's packet reflect that impact. We likewise believe that we will experience some impact from sequestration on our 2014 aftermarket sales. However, we had $2.6 billion in backlog in this segment as of March 31, including $1.2 billion of our $1.5 billion 2014 baseline sales estimates. So at approximately 80% of our baseline sales estimate already in backlog, we don't expect sequestration to have a significant impact on 2014 results. Of course, we will continue to monitor the situation so we can stay nimble to adjust business conditions as they unfold. Now, Wilson Jones will discuss some of the highlights of our business segments. Please turn to Slide 6.
Wilson R. Jones: Thanks, Charlie and good morning, everybody. Charlie mentioned disciplined execution, and that's what you're seeing now in the Access Equipment team. Our operations and supply chain teams work successfully to move equipment over the mountain, in McConnelsburg, and around the world from inclement weather to serve our customers in the second quarter. We also have numerous MOVE initiatives ongoing in the Access Equipment segment that are enabling the team to deliver on their margin improvement goals. Our global markets have supported the price increases that we announced effective January 1, and the team continues to lower our product, process and overhead costs. Today, trends that we've seen over the past few quarters continue to drive this segment. In North America, we continue to see demand driven largely by rental company fleet replacement, although we are beginning to hear some customers talk about fleet expansion in 2014. And the Independent rental companies are coming back to market for new equipment. For any of you who've visited our booth at the ARA rental show in February, you saw firsthand the high level of activity by independents. Lenders are becoming more active, and helping independents secure the financing they need to replace some very old access equipment. Outside North America, the markets continue to be mixed. Overall, we're experiencing slow growth in Europe with activity better in Northern Europe, activity remains at very low levels in Southern Europe. Moving around the globe, the Latin American market continues to grow. The story in this part of the world is infrastructure buildout. And 2 highly visible drivers are the World Cup in 2014 and the Summer Olympics in 2016, both in Brazil. Turning to Asia Pacific. Sales were up except in Australia, where a large customer paused its purchases and a slowdown in mining energy projects has curtailed demand. Translating this to activity levels in the second quarter, we experienced a solid quarter in terms of orders. As we have previously mentioned, we believe customers, in general, are using a more balanced approach to placing orders, now that they have greater confidence in equipment OEM's ability to meet their requirements. We believe our backlog in this segment, which is down year-over-year, but up sequentially, reflects this pacing of orders along with lower requirements for military telehandlers and lower sales in Australia. Before I close out the Access Equipment segment, I'd like to make a few comments about the bauma show in Munich. Despite choppy markets in Europe, bauma has solid attendance and we introduced several new products that round out our product portfolio. Customers are looking to replenish their fleets. We believe they're excited about the value we offer with the recently launched European versions of our rental series scissor units, as well as our new 17- and 20-meter compact crawler booms, and new 2 can mass booms. Additionally, we've upgraded our powerstrip telehandler lineup for Europe with improved visibility along with several powertrain options on our proven platform. We're excited about our product pipeline over the next year, as JLG looks to reinforce its leadership in the work at height business. Now please turn to Slide 7 for some comments on our Fire & Emergency segment. Our Fire & Emergency segment continues to deal with challenging market conditions. The sequestration compounding, already weak federal spending, including funds for fire apparatus and airport products, we still have not turned the corner in the federal portion of this market. However, we believe that we have turned the corner in the U.S. municipal fire market, as we are seeing signs of improvement across the U.S., including Florida, the Southwest and several other areas that were hit hard by the recession. Jim Johnson and his team are moving the business in the right direction, as the segment posted a modest profit in the quarter, which is a significant improvement from our loss in the prior year quarter. Obviously, we're encouraged, but we still have a long way to go. As a result of our actions and a solid backlog, we believe this segment will deliver stronger results in the second half of 2013. In July of 2012, we announced our intentions to exit the ambulance business. We completed our last ambulance build during the quarter and are now able to fully focus our efforts in the Bradenton facility on our fire apparatus products. This is important as we strive to deliver improved efficiencies in all of our facilities. During the quarter, we also increased spending on MOVE initiatives to drive the segment to higher margins over the longer term. As I mentioned, U.S. government demand for our airport products, namely ARFF unit and snow removal of units used in airfields and other government facilities, is soft. This is in contrast to our international ARFF business, where demand remains strong. In fact, we recently received an order to supply the Japanese military with 22 global strikers. And as Charlie mentioned, Pierce is celebrating its 100th year anniversary, 2013. This is a business that has seen a lot over the past 100 years, including up and down markets. Through it all, Pierce has maintained its focus, and today, Pierce is the market leader for fire apparatus in North America and locations around the world that require the best in firefighting equipment. Over the years, Pierce has compelled some impressive figures. During its 100th-year history, we've built and sold more than 50,000 fire trucks and a little over 1/2 of those utilize a custom chassis, a market segment that we lead by a wide margin. Custom fire trucks have only been around for about 30 years. So in relative terms, it's still a fairly young market. It's a market that we intend to keep leading and defining with technology, with superior customer service, and with outstanding quality and reliability. I'll wrap up my portion with some comments on our Commercial segment. Please turn to Slide 8. We introduced Brad Nelson as President of our Commercial segment in February. Brad comes with position from our Access Equipment segment, where he serves as our Vice President of Global Marketing. Before coming to Oshkosh, he held leadership positions at both EMC and Eaton Corporation. Brad is currently busy coming up to speed in his new role. Fortunately, he is a quick study, and he will need to be, because this is an exciting business due to the ongoing rebound in the U.S. housing market and residential construction in general. He's already making an impact with our team at Commercial, and we welcome him to his new role. Similar to our Fire & Emergency business, Commercial is actively investing in MOVE initiatives. I'm not going to go into great detail at this time, but the changes we're implementing in this segment are helping improve our performance, both in our factories and with our customers in the marketplace. Turning to the segment's largest businesses, the concrete mixers and refuse collection vehicles, our concrete mixer business saw orders in the second quarter more than doubled over the prior year quarter. Furthermore, we continue to experience growth in our aftermarket parts and service business. The concrete mixer market in the U.S. declined over 90% during the downturn. While it still has a long way to go to fully recover, it feels good to be part of the pickup in this business. Our RCV business has been choppy this year. Notably, one of our largest customers has pushed a large portion of their expected 2013 orders to the back half of this calendar year. We recently started to receive their 2013 orders, but we won't start to see these orders reflected in sales until our third quarter, and some of their orders are likely to slip into our first quarter of 2014. CNG powered units continue to be a big component of our RCV sales. As they generally average anywhere from 30% to 40% of our shipments. We're also seeing more CNG -- more orders for CNG mixers, reinforcing our view that there is significant opportunity for CNG mixers, as that market continues to recover. To conclude my comments on the RCV business, we look forward to meeting with customers at the WasteExpo show next month in New Orleans, where we will introduce some exciting new vehicles. I'll hand it off to Dave now to review our financial results for the quarter, and comment on our expectations for 2013.
David M. Sagehorn: Thanks, Wilson and good morning, everyone. Before I discuss our second quarter results, I'd like to remind you that effective this quarter, we have reclassified Medtec Ambulance results to discontinued operations for all periods, in conjunction with the completion of our exit from that business. All results that I discuss today will be for continuing operations only. Consolidated net sales for our second quarter were $1.98 billion, a 3.8% decrease from the second quarter of 2012. As has been the trend in each of the last several quarters, sales in each of our non-Defense segments were higher than the prior year quarter, further supporting our belief, that in general, our non-Defense markets continue to improve. Sales in our Defense segment were down 16.2% compared to the prior year quarter, largely as a result of lower M-ATV aftermarket parts and service, and FMTV sales. This is partially offset by the ramp up in sales of M-ATVs to the UAE. Consolidated operating income for the quarter was $134.6 million or 6.8% of sales. This compared to operating income of $84.1 million or 4.1% of sales in the second quarter of 2012. All segments reported higher operating income and operating income margins compared to the prior year quarter, led by the Access Equipment and Defense segments. Access Equipment segment results compared to the prior year quarter benefited from the realization of recent price increases and operational efficiencies resulting from our MOVE initiatives. The Defense segment benefited largely from an improved sales mix, including the ramp up of sales of M-ATV units to the UAE and improved operational efficiencies. Defense segment results also included $1.4 million of net charges related to workforce reductions in that segment. We believe the improvement in our operating -- in our segment operating income margins, especially in our non-Defense segments, is evidence that our MOVE strategy is working. More information on our second quarter results by segment can be found in the Appendix section of today's slide deck. Earnings per share for the quarter was $0.96, this compares to earnings per share of $0.47 in the second quarter of 2012, reflecting the improved performance in each of our segments. Second quarter 2013 results also benefited from a lower tax rate of 29% compared to 35.8% in the prior year quarter, due to reinstatement of the U.S. RMD income tax credit and lower foreign income taxes. Please turn to Slide 10 for a review of our current outlook for 2013. We're pleased to announce today higher expect results for 2013. We're increasing our estimated adjusted earnings per share from a range of $2.80 to $3.05, to a range of $2.90 to $3.15. The increase in estimated full year results is due to expected improved performance in both our Access Equipment and Defense segments. Specifically, we are increasing our Access Equipment full year sales estimate range by $50 million to $2.85 billion to $3.05 billion. We are also increasing our estimated operating income margins for the segment to approximately 10.5% to 11% compared to our previous estimate of approximately 10.5%, reflecting the higher sales estimate range, favorable price realization and continued operational improvements. In our Defense segment, we're reducing our estimated sales range for the year by $100 million to a range of $3.1 billion to $3.2 billion. The reduction in our sales estimates is largely the result of the decrease in our estimate of aftermarket sales, some of which we expect to be driven by sequestration, as well as some vehicle sales shifting to 2014. We're also adjusting our expected operating income margin in the segment, increasing it from approximately 6.5% to approximately 7%, reflecting the continued operational efficiency improvements that this segment has been able to achieve. We've also updated our estimated full year corporate spend to reflect the impact of our higher share price on variable share-based compensation compared to our previous estimates. The higher estimated full year corporate spend compared to 2012 was also driven by higher information technology investments. A few additional changes to our estimates. We are reducing our estimated full year tax rate to 31% from our prior estimate of 32%. We are reducing our capital expenditure estimate to $50 million, and we are increasing our estimated free cash flow to a range of $110 million to $135 million, reflecting expected higher earnings and slightly lower capital expenditures. Finally, we're assuming a share count of approximately 89 million, which excludes the impact of any additional share repurchases we may make in the third or fourth quarters. I'll close with a quick comment on our expected quarterly earnings per share split in the second half of the fiscal year. We expect the third quarter to be our strongest quarter in the year as a result of strong seasonally driven demand for products with exposure to the construction markets, and continued international sales of M-ATVs in the Defense segment. We expect our fourth quarter results to be the lowest quarter of the year, as we start to see the seasonal decline in Access Equipment and Commercial segment sales. We also expect fourth quarter Defense segment sales to decline significantly from third quarter levels, as we complete sales under the 750-unit international M-ATV order and as production levels for our other Defense programs declined. Please turn to Slide 11, and I'll turn it back over to Charlie for some closing comments.
Charles L. Szews: Thanks, Dave. We are focused on execution and committed to delivering the MOVE targets that we've shared with you. We are confident that we have the right roadmap and the right team to drive to our 2015 EPS target range of $4 to $4.50. That concludes our formal comments. We're happy to answer your questions. I'll turn it back over to Pat to get the Q&A started.
Patrick N. Davidson: Thanks, Charlie. [Operator Instructions] Brenda, please begin the Q&A period of this call.
Operator: [Operator Instructions] Our first question comes from the line of Stephen Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: I guess I wanted to focus a little bit on the Commercial segment. It feels to me like you guys have -- your forecast is up about 10% or so, and the backlog is up significantly more than that. And I guess, if the mix, if I'm reading this right, the mix is shifting a little more towards CNG, which I -- it seems have much higher ASPs as well. And I guess I'm just trying to figure out why that 10% isn't pretty conservative at this point, or if there's some, maybe, headwinds that I'm not thinking about.
David M. Sagehorn: You're right on the CNG, but I think that's been somewhat consistent in terms of the percentage of sales over the last number of quarters. We have obviously seen orders pick up on the mixer side of the business. Wilson talked a little bit on what we're seeing on the RCV side, especially with the timing of orders from one of the customers. So I think that is probably the biggest driver that we would see there. And are not -- I don't have specifically the numbers that you're referencing, and the 10% isn't jumping out right now.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: I guess I'm looking at your backlog of 24%. And it sounds like you're saying you're expecting more RCV orders later in the year, but you're already up 24%. It's just, again, it feels like there's some conservative -- conservancy build -- it’s that a word? Built in here.
Charles L. Szews: Well, we don't know that. We've developed what we view as a realistic forecast for the second half of the year.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Okay. I'll leave that one. On Defense, the margins were a little better than I thought. And I guess, I'm wondering, if it's possible just maybe, qualitatively, to talk about how much that has to do with mix and how much it has to do with sort of internal margin opportunities. And I guess what I'm trying to get at is, as we look into '14 and '15, are we starting to think, maybe margins in Defense could be a little higher than what we had previously thought?
David M. Sagehorn: Steve, the drivers of the mix in the second quarter, the biggest driver was the M-ATV mix, international order that we've previously talked about. Operational efficiencies did contribute and as they did last quarter, so we're very pleased with -- in terms of the performance out of the Defense segment as they continue to operate that business. I think as we said last quarter, we'll provide updates on '14 and '15 later in the fiscal year.
Operator: Our next question comes from the line of Eli Lustgarten with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Can we -- I guess, a clarification. You adjusted the corporate expenses up to $140 million, $145 million because of share base and IT investments. And I hate to do this to you, but is that a run rate for 2014 also? Or does that number begin to come down? And I know you can't predict the stock component, but the IT stuff should be visible.
Charles L. Szews: Eli, the IT investment will still be high in '14. So we really can't predict what's going to happen on the share base side.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: But would it be fair, that the number will be similar? I mean, I don't -- precision doesn't matter, I just want to know is it similar, or do we come back down from the level [indiscernible]? Because that's a big change from last year.
Charles L. Szews: Yes. We really don't have any guidance for you for 2014 yet.
Eli S. Lustgarten - Longbow Research LLC: Well, I tried. And can we talk about what's going on in the Access business? One of your competitors has a pretty strong quarter and volume. And they claimed that a lot of their improvement actually came from overseas, particularly, actually, the U.K. was the one that surprised them. More on the upside, you had a decent quarter, backlog is down a little bit, can you give us an idea what you're seeing in the business? Whether do you have any expectations as a look forward through next couple of quarters, both here and abroad? And what's going on in pricing in that business?
Charles L. Szews: Well, we're seeing good market conditions. We did take our estimates up for the year. In the segment, in terms of total sale, pricing environment generally, is favorable. We are sticking to our gun with our price increases that we've announced, and that is something that I think that we're leading the industry on and we're going to continue to pursue.
Eli S. Lustgarten - Longbow Research LLC: Is that costing you a little bit of share at this point with the stronger pricing?
Charles L. Szews: The target sale, one quarter doesn't make a trend in -- I think if you look at the trailing 12 months, we're like spot-on with all of our competition. So I think we're doing fine.
Eli S. Lustgarten - Longbow Research LLC: But you're expecting it to fall off somewhat materially in the fourth quarter at this point. You think -- so you're assuming that the market softens as you look out...
Charles L. Szews: That's just a normal seasonal trend for the business.
Eli S. Lustgarten - Longbow Research LLC: And that even though interim -- a final Tier 4 comes next year, and you have potential IT investment tax credit changes, what have you, I'm just sort of -- it's part of your...
Charles L. Szews: We're not seeing any kind of a pre-buy initiative from the fleets. I mean, they've all been pretty well conditioned, I think, to keep their utilization rates high. And if they pre-buy much, that causes for a concern in the marketplace.
Operator: Our next question comes from the line of Jamie Cook from Crédit Suisse.
Andrew Edouard Buscaglia: This is Andrew Buscaglia on behalf of Jamie Cook. Just another question on your Access Equipment side. Can you just comment more so on orders? Kind of what's the mix you're seeing there? I know that was down a bit in the quarter. And can you comment on sort of the cadence you've seen of the orders throughout the quarter and into the current quarter?
Wilson R. Jones: Andrew, I think I made some comments about how the rental companies are a little more measured with their order approach this year. Now that the OEMs are on a pace of delivering, we're seeing a much more balanced order schedule. We're certainly pleased with our current bookings pattern. I think the mix, it's been what we've talked about before, a higher telehandler mix for us, but on track from an order standpoint from our view.
Charles L. Szews: And it was on track enough, Andrew, that we took our guidance up for the year, right. If you look at our total backlog at the end of the quarter, it's almost $800 million in this segment, much higher than what you're going to see elsewhere at other competitors, so we're feeling pretty good about where the year sits. And then just not -- don't forget that last year at this time, we had a big military telehandler backlog, we don't have that this year. So our Commercial business is very strong.
Andrew Edouard Buscaglia: Okay. And then on your Defense side, you had mentioned a fair amount of activity internationally. Is this in line with what you're expecting? Or is it a little bit better than you're expecting at this point this year? And kind of long term, is this -- do you think that, that potentially, your international expansion for Defense could certainly be better than what you've been guiding at your Analyst Day?
Charles L. Szews: I think what we're realizing is consistent with what we expected before. We've said all along that we expected additional M-ATV orders. We got an additional initial order from Kingdom of Saudi Arabia. We would expect additional orders to follow over time. We're still chasing a large number of potential M-ATV orders, as well as other Defense products volume over the next couple of years. And basically, the Defense business is proceeding much like we expected it to.
Operator: Our next question comes from the line of Charlie Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: On the Defense segment, can you give us how many -- what the shipment was for FMTV? And of the UAE M-ATV order, how many units got shipped in that order in Q2?
David M. Sagehorn: Charlie, FMTVs in the quarter were about 45% of the total sales volume. And then on the M-ATVs, it was about 200 units in the quarter that were shipped.
Charles D. Brady - BMO Capital Markets U.S.: And that's about a 750-unit order, all-in, correct?
David M. Sagehorn: Correct. You will see higher -- we will see higher sales volumes from the M-ATV program or M-ATV order in the third quarter.
Charles D. Brady - BMO Capital Markets U.S.: Okay. And just a follow-up on Access. Did you mention what percent of sales were coming from independents in Q2? And that how that compared with a year ago?
Charles L. Szews: We didn't give a percentage, but the mix is higher in the current year in terms of sales to I.R.C.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Charlie, I'm wondering if you're comfortable commenting on what the ultimate size of the Saudi Arabia opportunity is beyond the initial order that you just mentioned? And then, in the past, you've been willing to comment on the overall market opportunity for M-ATVs in the Middle East based on inquiries that you're seeing. I wonder if you just give us an update on the size of that opportunity here.
Charles L. Szews: Well, we're still pursuing roughly 2,000 M-ATVs globally. And I don't have any specifics by country to give to you.
Jerry Revich - Goldman Sachs Group Inc., Research Division: But it is more than just the Middle East?
Charles L. Szews: Yes, right. The M-ATVs that we're pursuing are beyond just the Middle East.
Wilson R. Jones: And I think, Jerry, the 2,000 that Charlie references, that's additional in terms of to what we already have. So I think the original 3,000 target is still intact for us.
Charles L. Szews: The orders are going to come up over time. And just like this one from the Kingdom of Saudi Arabia, the initial order, they're going to come of varying sizes and over time.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And Charlie, can you address the first part of the question? Or is that market sensitive in terms of how big the Saudi follow-on orders can be?
Charles L. Szews: Yes, I prefer not to comment on that.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And in Access Equipment. Telehandler shipments were really excellent again in the quarter. I'm wondering if you're seeing just a sharper pickup in U.S. housing driven or what markets are driving that for you?
Charles L. Szews: I still think it's largely replacement-driven demand. But certainly, I think our customers are seeing that it's a good time to get their telehandler fleet in good shape as the housing recovery does expand. But the housing recovery isn't real robust right now, okay. We're hovering just under or just around 1 million housing starts. So -- look, it's a better number than it's been, it's not real robust. So I don't think you're seeing any real expansion capital here, it's just refreshing the fleet just in time for probably a recovery in '14 and '15.
Operator: Our next question comes from the line of Ann Duignan with JPMorgan and Chase.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: It's Ann Duignan. On the commercial side, when we arrived at the World of Concrete earlier in the year, your team noted that, that business, that the industry peak is about 11,000 units back in '06 and it was about 800 units in 2010. Can you give us any sense of what do you expect the industry unit volume to be in absolute basis this year?
Charles L. Szews: Ann, may the best way -- and I'd have to do a little math here, but I think we're still down probably 65% to 70% from peak. It's where we're trending towards this year.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. So that's a good step up from 800 units in 2010?
David M. Sagehorn: Absolutely, but we've got a lot of steps to go to get back to where we were before.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Absolutely. Now, on the...
Charles L. Szews: Ann, if you take a look, too, at our, I think, our Analyst Day slides and even the Investor handout we had in March, we do have kind of our historical last several years for mixers here in the U.S., and then we project out a couple of years. So that will give some, I guess, some quant to your question as well.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Yes, I'm just curious. Year-over-year, I mean, that's a pretty sizable step up despite the fact that we're still well below peak. And on the cement mixers again, we've been hearing that there may be regions that are actually short of cement mixers. Are you hearing anything like that? That this is more -- we cut back significantly after '06. Now it's not just replacement, it's incremental demand?
Wilson R. Jones: Well, we haven't heard of any areas that are short. If you send us those sales, we'll follow-up there. Now as far as we're hearing, there is a lot of customer activity. I talked about doubling our order intake this past quarter. I can tell you, it's a very active sales group. A lot of people getting fleets going again. I talked about our aftermarket business being up again. They're pulling all of their old fleets off the line and getting them back into service, so a lot of good activity. But to answer your question, we have not heard of the shortage anywhere. But please send those leads to us.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: I sure will. And then just as a follow-up on the backlog, there was a question earlier that pushout of the orders for the refuse business, those are still in the backlog, I presume? They're not orders that are going to reshow up in backlog as we go forward?
Wilson R. Jones: I think we have. We started to see some of those orders come in, in the second quarter and we do expect that we're going to see additional orders in the coming quarters.
Operator: Our next question comes from the line of Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Just shifting over to Access real quick, you mentioned a bit of a headwind in Australia. And I'm sort of wondering, how big is this market for you guys here?
David M. Sagehorn: Australia is a big market for us. One of the major players there is going through a process that is causing them to pause their purchases, and it's a particularly big customer for us. So that's probably the biggest impact. Secondarily though, there are mining projects, as well as LNG projects that are delayed or moving along slower. So that is impacting the market, but it's a real -- it's a good market for us.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Can you give me any sort of numbers to work with here?
Wilson R. Jones: Well, Mig, let's -- if you just look globally, I mean, we'll call it 70%-ish North America. And the rest of the world is largely split 1/2 Europe and 1/2 everything else. And Australia would be part of that everything else.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's helpful. Also, very good margin in Access here. And you talked about pricing, you talked about efficiencies. I'm also wondering what sort of impact are we seeing from the aftermarket business? Because you highlighted that as being a little bit better than it's been in the past as well. Can we be seeing a little bit of margin lift from aftermarket as well? That's what I'm wondering.
Wilson R. Jones: Yes, we can. Yes. We're -- the team's working hard to make sure they're supporting our customers out there. I think as we see the activity levels pickup, we're seeing that translate into higher aftermarket sales as well.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: But can you sort of parse out as to what the impact in the quarter, for instance, on the 260 basis point year-over-year margin expansion would be from mix OE versus aftermarket?
David M. Sagehorn: We're not going to go into that level of detail on this call.
Operator: Our next question comes from the line of Walt Liptak with Global Hunter Securities.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: I wanted to ask a follow-on in Access about the margin mix. At this point, is the margin the same in telehandlers as it is in Access or other products?
David M. Sagehorn: No, historically, it's been less or lower-margin product compared to our -- the booms, and that trend continues.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay. So as we get to the back half, there'll be some margin pressure from the telehandler sales?
David M. Sagehorn: Actually, I think, as we look to the second half of the year, we think from a product mix standpoint, we'll see a little richer mix of booms compared to telehandlers.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, got it. And I want to switch to Defense and just ask about the layoffs, I guess, that you've announced. Have you talked about a charge yet in the coming quarter?
David M. Sagehorn: Yes. Well, actually, we took a $1.4 million charge in the second quarter, Walt. There might be some small amounts in the third quarter, but we don't think they're going to be significant.
Charles L. Szews: That would be the bulk of it.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, great. Okay. And then just the last one on -- and probably the biggest question. Just on the sequestration, as you're thinking about 2014 and 2015 and the backlog and what's firm, what can the government do in terms of canceling or pushing out? How are you protected from sequestration? And what's already in the backlog?
Charles L. Szews: Well, for the convenience of the government, they can cancel any order they've ever given, right. And there's a potential for compensation if they do that. But generally speaking, I think we feel very good about the $1.2 billion we have in backlog against this baseline number, of $1.5 billion for next year. The cuts really have to get dramatic before they start canceling orders. They're much more likely to pare back on their aftermarket spend, like they have already started to do to some extent. We feel still very good about our ability to hit the sort of baseline numbers going forward, but there will be some pressure. Our sense is that the kind of pressure we're going to get from sequestration is within our ability to develop countermeasures and adjust to that scenario. So we're in a unique situation where our volumes were already coming down significantly, so that any adjustments around the fringe don't have as big an impact.
Operator: Our next question comes from the line of Basili Alukos with Morningstar.
Basili Alukos - Morningstar Inc., Research Division: Just going back, kind of what people have been talking about, the margin improvement. I was wondering if you could try to help us breakout what I calculate like a 3.5% improvement in gross margins. If you could parse out some of the benefit of pricing versus the benefit of operational improvements? I don't think you guys bring -- breakout units, so it's kind of hard to calculate difference in unit cost and unit pricing. But maybe you can just help us think or give us some clarity about how to look at the improvement from both pricing and operations?
David M. Sagehorn: Yes, price was the biggest driver. As we look at things, it was probably 3:4:1 in terms of price compared to operational efficiencies in the quarter in Access.
Basili Alukos - Morningstar Inc., Research Division: And I guess, as I look kind of across the whole company, then that's probably the same ratio or?
David M. Sagehorn: No, not necessarily. I think we implement price increases at different times in the various segments. I think if you look at the Fire & Emergency, I would characterize price as being similar in waiting to what we saw for the changes in operating expenses. And in Commercial, I think what we've largely saw there was it was more absorption driven just on the higher volumes.
Operator: Our next question comes from the line of Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I had another margin question, this time on Defense. If I interpreted your comments correctly, the sequester is expected to have, I guess, more of an impact on the aftermarket revenues rather than the OE. So I guess, I'm wondering, how comfortable are you with the Defense margin guidance, presuming that some of those aftermarket revenues could be potentially coming under pressure over the next couple of years?
Charles L. Szews: Well, in terms of 2013, our guidance for the rest of the year factors in our view of sequestration impact on aftermarket sales, margins and all of that. As far as 2014, we haven't provided specific guidance. But what I was trying to give you qualitatively was some commentary that baseline revenues, margins are in the ballpark. And we don't think that sequestration will have a really significant impact to those numbers. And if it does, it's within our capability to deliver countermeasures in the business.
Operator: It seems there are no questions at this time. There are no further questions at this time.
Patrick N. Davidson: Very good. Well, we appreciate all of our shareholders' interest in Oshkosh. We want you to know that we're working to deliver value for you day in and day out. And have a great day, everyone.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.